Operator: Good day, everyone. Welcome to the Stitch Fix Second Quarter 2019 Earnings Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to David Pearce, Head of Investor Relations. Please go ahead.
David Pearce: Thank you for joining us on the call today to discuss the results for our second quarter of fiscal 2019. Joining me on today's call are Katrina Lake, Founder and CEO of Stitch Fix; Mike Smith, President and COO; and Paul Yee, our CFO. We have posted complete Q2 financial results in our shareholder letter on the IR section of our website, investors.stitchfix.com. A link to the webcast of today's conference call can also be found on our site. We would like to remind everyone that we will be making forward-looking statements on this call which involve risks and uncertainties. Actual results could differ materially from those contemplated by our forward-looking statements. Reported results should not be considered as an indication of future performance. Please review our filings with the SEC for a discussion of the factors that could cause our result to differ. Also, note that the forward-looking statements on this call are based on the information available to us as of today's date. We disclaim any obligation to update any forward-looking statements, except as required by law. During this call, we will discuss certain non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are provided in the shareholder letter on our IR website. These non-GAAP measures are not intended to be a substitute for a GAAP result. Finally, this call in its entirety is being webcast on our IR website and a replay of this call will be available on the website shortly. I'd now like to turn the call over to Katrina.
Katrina Lake: Thanks, David. And thank you all for joining us. After the market closed today, we issued our quarterly shareholder letter with more details on our results, which I encourage you to read. I'm excited to be back from parental leave with a little less sleep but greater perspective. I’m very happy with the results we are reporting today and a great future we have ahead. Especially during a time when the headlines are dominated by store closures and retail challenges, we are excited to continue our positive momentum and capitalize on the market share opportunity ahead. I'll take a moment to highlight our results from the second quarter and provide more color on how we manage our business to continue to drive this sustainable long-term growth. In the second quarter, we generated net revenue of $370 million exceeding our guidance and representing 25% year-over-year growth. We delivered $12 million in net income and $19.2 million in adjusted EBITDA which also exceeded our guidance. We grew our active client count to $3 million as of January 26, 2019 an 18% increase year-over-year. These results demonstrate our continued commitment to delivering long term growth while making significant investments in future categories and capabilities. I want to open with aligning around what we value most client relationships. The heart and soul of our business are the intimate real connections we make with our clients that enable us to store them over a long period of time. Stitch Fix is a successful business because of these relationships and they drive significant long-term value for our business and our shareholders. Many of our clients spend hundreds of dollars over the course of many months and some thousands over the course of many years. Our primary focus is on strengthening these relationships driving higher engagement and ultimately translating that to more valuable client. In practice the decisions we make to drive value in our client base involve the inter-play between our inventory assortment, fixed delivery, wait time and marketing mix all of which we managed very intentionally. For example, at any given time different clients may find different fixed delivery days available to them. These dates are a reflection of our efforts to align our inventory assortment with client’s preferences. By using wait times to deliver we could improve the success of a particular fix, but more importantly, enhance client value over time. Marketing is another lever we have available to us. In the past, for example, we've chosen to market more aggressively with men or less with plus-sized clients depending on our available inventory at each product group. Our [director sales and] marketing provides us with the flexibility to manage growth and ensure we can deliver a positive experience to all clients. Putting this framework into context, in Q2, we had higher than anticipated demand from existing client. This was evidenced by our year-to-date repeat rate of 88% which we define as the percentage of net revenue excluding certain items in that period recognized from clients who have ever previously checked at Fix. As a result of this increased demand, repeat clients can do more of our inventory in the quarter. To ensure we had the right inventory on hand to serve new clients well, we shifted some of our Q2 marketing dollars to the back half of the year. This positions us well to drive client demand in the second half of 2019 and enables us to prioritize driving client value, evidenced by our third consecutive quarter of increased revenue per active client growth. In addition, this enables us to support more revenue in the back half of the year which Paul will share more on in a few minutes. Before I hand it over to Mike, I'd like to discuss our first integrated brand marketing campaign which we launched in February shortly after our Q2 close. Historically, our marketing efforts have largely been focused on a more utilitarian approach of describing how our service works. This has been a great demand generating strategy but we see a lot of potential in adding brand as another marketing channel to diversify our mix and reinforce our why brand matters. Few companies have a deeper connection with their clients as we do, our clients bring us into their hearts and homes and share the details of their lives with us. These client relationships are at the core of Stitch Fix. We are service that listens, takes the time to understand each of our clients as individuals and creates an experience that is unique, relevant, and fun. Each client’s personal style is personal to us too. One of the most important goals of our brand campaign is to increase understanding of the brand. Something we learned in our research is that even when there is an awareness of Stitch Fix, there isn't always an understanding of the full breadth of our offering. This has led us to creative that really showcases diverse styles, sizes and occasions; and of course, all of our offering, men, kids and women. But increasing understanding of our brand, we hope to improve conversion of clients are presented with our messaging, something that we believe will benefit all of our marketing channels. We also hope to grow understanding about what makes us special. The empathy and personalized nature of our business are so unique in the world of retail. We believe that they inspire confidence in our clients and create meaningful connections that enable us to serve clients well and drive client value. For this reason, the central message of our first integrated brand campaign is everyone deserves to be seen. The timing and theme of this campaign is very intentional and grounded in client insight. We chose to launch this campaign by anchoring to a cultural moment like the Oscars which encompasses both personal style and confidence. This allowed us to benefit from the significant impressions associated with the event pre, during and post, greatly amplifying the value of our investment. While you’ll see the financial impact of these integrated brand investments in Q3, we expect client growth associated with this spend to materialize over a longer period of time. We'll be measuring brand awareness, understanding and affinity over that time. In addition to attracting new clients to the Stitch Fix family, we are also excited about the impact of this work on existing clients. Our past TV advertising has shown that for every two new clients we engage we also reengage one existing client. With these and many other proof points, we're able to invest at a high level of conviction and brand advertising. This campaign is running across multiple channels seeking to reengage existing clients and build awareness among new clients who weren't previously aware of Stitch Fix. Brand marketing is an important addition to our marketing strategy giving even more people a reason to engage with Stitch Fix. We're excited about the opportunity to build an emotional connection with existing clients and prospective clients alike and look forward to sharing more in the quarters ahead. Now I'll turn it over to Mike who will walk you through two recent initiatives.
Mike Smith: Thanks, Katrina, and hello to everyone joining us on today's call. I'd like to take a moment to provide more detail on a couple of initiatives that demonstrate our continuing efforts to enhance the client experience as well as expand our market opportunity. One of our key strengths is our ability to use data science to match our inventory to millions of clients individualized preferences. As we continue to grow, we're focused on improving this matchmaking capability which we believe is a competitive advantage and fundamentals to driving compelling client experiences. In Q2, we launched a new inventory optimization algorithm to more effectively allocate inventory across our client universe. Historically we optimize inventory allocation one client at a time based on which client was first in the queue. Our new algorithm considers the preferences of a broader universe of clients in the queue to determine which inventory should be made available to Style as they start for each client. In doing so and ensures our staff have the right inventory to meet each client's style preferences regardless of the client's position and our style in queue. Early results from this new algorithm demonstrated increases in client satisfaction, the number of items purchased for Fix and average order value. We believe this algorithm will enable us to more effectively serve our growing client base over time while also driving efficiencies across styling, inventory management and operation. I'd like to provide you with a quick update on the status of our UK launch. We've established our local presence by hiring a UK team and investing in on the ground operations. We've also received strong interest from local brands to work with us to create a compelling assortment for UK men and women. In addition, we're leveraging our existing data science capabilities to serve the unique preferences of our UK client. As we prepare to launch in fiscal Q4, we look forward to capitalizing on our expanded U.S. and UK market opportunity of over $430 billion. I will now turn the call over to Paul who will discuss our financial performance and outlook.
Paul Yee: Thanks, Mike. Our Q2 results demonstrate our continued commitment to growing our business profitably. We drove revenue growth and efficiencies year-over-year which together enable us to fund strategic investments for the future. With strength in both our top and bottom lines in Q2, we're well on the path to achieve the financial objectives we set for fiscal 2019. Looking ahead, as Katrina and Mike mentioned, we are executing on our planned investment in our brand campaign and in the U.K. Based on continued client demand momentum, we're raising our full year guidance for both net revenue and adjusted EBITDA. Before providing details on this outlook, allow me to provide Q2 highlights. Our net revenue of $370 million represented 25% growth year-over-year, exceeding our guidance of 22% to 24% growth. These results reflect a healthy year-over-year growth in women's, continued scaling of men’s and ramping of our nascent kids category. Active clients grew 18% year-over-year. With the recent inventory investment, we believe we're well-positioned to support increased demand in the second half of 2019, which I'll discuss in a moment. Net revenue per active client grew 6% year-over-year, representing a third consecutive quarter of growth even with the continued penetration of men’s and kids. These games reflect the continued strong health of our women's category, as well as our ongoing focus on attracting long-term quality client. Q2 gross margin was 44.1%, 110 basis points higher than last year's Q2. With higher sell-through rate of the product, we had both lower inventory reserve expense and lower clearance activity year-over-year. Note, we expended gross margin even as we grew the mix of men’s and kids. Advertising was 6.5% of net revenue, below the 6.7% in Q2 2018, reflecting a planned pullback and ad spend during the holiday. In addition, given higher-than-anticipated levels of demand from existing clients, we decided to further curb our paid marketing. Contributing to EBITDA upside in the quarter, we're investing this marketing spend instead in the second half of the year. Other SG&A excluding advertising was 33.4% of net revenue in the quarter, compared to 31.1% in last year's Q2. These results reflect the build-out of UK capabilities, as well as payroll and SBC investments to track and retain top talent. Adjusted EBITDA was $19.2 million or 5.2% of net revenue. This topped our guidance of $8 million to $12 million driven by higher net revenue and gross margin, as well as lower advertising and operating expense we've chosen to redeploy in later quarters. Q2 net income was $12.0 million and diluted EPS was $0.12. Year-to-date, we've delivered free cash flow of $46 million compared to $26 million in the first half of 2018 and ended Q2 with zero debt and $356 million in cash, cash equivalents and highly rated securities. While our free cash flow in Q2 was lower due to some timing benefits in Q1 reversing in Q2, to continue to manage our working capital well, as evidenced by a gross margin and inventory terms. Specific to inventory, we invested in more product to support our demand expectations in the second half of this year. We ended the Q2 with 29% more inventory year-over-year, compared with 22% the end of Q1. We expect this year-over-year growth to increase in Q3 and Q4 as we invest to support both our core categories as well as our expansion into kids in the UK. Now, I’ll provide guidance for Q3, Q4 and full year 2019. For Q3 2019, we expect net revenue between $388 million and $398 million dollars, representing growth of 22% to 26% year-over-year. This growth were driven by continued momentum and revenue per active client, similar in Q2, as well as strong after active client growth in the period. In this quarter, we anticipate investments of $15 million to $20 million to support our plan brand campaign. Our brand investments this year will be concentrated in Q3. They are incremental to our performance marketing effort. And given the nature of brand messaging, are not expected to be a near-term catalyst for driving intra-quarter client additions. With these brand investments, along with costs to launch in the UK, we expect adjusted EBITDA between negative $4 million and positive $1 million or an adjusted EBITDA margin of negative 1.0, to positive 0.3%. Without these long term investments, Q3 adjusted EBITDA will be positive. In Q4, we expect to return to positive adjusted EBITDA. For Q4 2019 specifically, we expect net revenues between $410 million to $430 million, representing growth of 29% to 35% year-over-year. As a reminder, this year’s Q4 includes the 14th week. We expect adjusted EBITDA between $4 million and $9 million or an adjusted EBITDA margin of 1.0% to 2.1%. For our full year fiscal 2019 we’re raising our net revenue range to $1.53 billion to $1.56 billion or growth of 25% to 27% year-over-year. This compares to a prior range of 21% to 25% growth. We expect net revenue growth in the second half to be driven by a combination of continued after client growth and net revenue per active client momentum. Any net revenue associated with our UK launch will be immaterial in fiscal year 2019. We’re raising our adjusted EBITDA range to $33 million to $43 million reflecting an adjusted EBITDA margin of 2.2% to 2.8%. This compares to our prior range of $20 million to $40 million. This revised range includes our aforementioned brand investments, as well as approximately $12 million of SG&A expenses in the second half of the year just for the UK launch. Also this full year guidance is inclusive of the extra week in fiscal Q4. In summary, we had a strong first half and we’re excited about both the demand momentum and long term benefits we expect from investment we’re making in the second half. With that, we’re ready to open up for questions. Operator, over to you.
Operator: [Operator Instructions] We'll hear first today from Doug Anmuth with JPMorgan.
Doug Anmuth: Great thanks for taking the question. It seems like a strong quarter in terms of both new customer acquisitions with active clients growing sequentially despite the seasonality and then the continued strength in ARPU. Could you just expand on some of the key contributors in terms of the outperformance around Women’s versus Men’s or contribution from Style Pass and Extras? And then just one for Mike, hoping you could talk a little bit more about the inventory algo optimization to expand on some of those operating efficiency initiatives that you're working on? Thanks.
Katrina Lake: Great. Thanks, Doug. In terms of I think the outperformance, I mean we saw strength across the board. As you see, the revenue per client number being 6% – being up 6% year-over-year and that is the cumulative effect of things like Style Pass and Extras and also on keep rate which we talked about last quarter as being the highest that we've ever seen. All of that really contributes to clients who are spending more with those clients who are happier and ultimately driving kind of health in the business and confidence in the business that really was kind of a big driver in terms of us kind of raising guidance and being optimistic on the year. I’ll let Mike talk about the algo.
Mike Smith: Yeah the algo, we've been really pleased with how much impact the algo has. I mean what is our special – the special thing we do is understanding clients really well and match great inventory in those clients. We get trust on both sides, we have this amazing understanding of what inventory is going to work with our clients and clients give us a lot of information that helps them – helps us deliver great client experiences. So while this is – we have data sciences pervasive in all parts of our business, this is a really exciting new algorithm that allows us to think further out in terms of which clients are in the queue and how much inventory we have in the queue and does a better job of matching that shows up in active revenue – revenue per active client, as well as client satisfaction, as well as average order value. So very exciting early days. On the operations side, again early days in terms of being able to drive leverage in the business. We mentioned in the past the rolling out some automation in Phoenix. We’re continuing that rollout through the rest of this fiscal year to get to the rest of this fiscal year to get to the rest of our warehouses. But we have a lot of opportunity for continued operations leverage in the warehouses in particular.
Operator: We'll hear next from Ross Sandler with Barclays.
Ross Sandler: Great. Just two questions on one of the biggest drivers of the improving keep rate is a selection is that some of the stuff that the data science team is working on. Any additional color there would be helpful. And then Mike it sounds like you have the data science guys looking at inventory and warehouse operations for a couple of quarters. As you look across the whole business, what other areas do you think that team can go in and look at and try to uncover additional efficiencies? Is it marketing, is it is that these new categories? Any color there would be helpful. Thanks.
Katrina Lake: Great. Thanks, Ross. I think in terms of the drivers of keep rate, these are really just kind of more broadly the things that drive client satisfaction and on the success and effects. And so I think the holy grail really of our business is really being able to match inventory and finance the thing that somebody wants at the right time. And that's really what we all drive towards on and when we are able to use style shuffle for example we've talked about in past earnings calls, so that we can really better understand what clients preferences are and better identify what the right product is when we're able to do for example the algorithm that Mike talked about which helps us on the inventory side to be able to optimize better. All of those things really accumulate into key great improvements of us being able to more reliably get people products that they love in their fixes and ultimately that leads to client satisfaction and better long-term value, and then revenue per client. I’ll let Mike kind of take the question that you have on operations and additional leverage.
Mike Smith: Yeah. So as a reminder from the past, I mean, we talked a lot, to Katrina's point about what's driving it, are things like our data science team working with our merchandising team to make style shuffle amazing. We have high client engagement from our active client base from that active client base that really helps us understand a client's style. For the future, as we look at the roadmap or the data science team, and they’re like two areas buying, I think we have a lot more opportunity to buy the right product and understand our clients. We understand our clients at a really great rate and the scale of the business allows us to have huge impact in terms of buying the right merchandise. And the second one is planning, like how much inventory do we buy and matching that inventory investment we make to the actual client base in a way that other retailers just can't do that.
Operator: We'll hear next from RBC Capital Markets, Mark Mahaney.
Shweta Khajuria: Thank you. This Shweta for Mark. A quick question on marketing strategy. So you have a diversified marketing strategy. You've had it in the past. And now, you’ve added brand campaign, so two questions on marketing. One is how has it changed or has it changed that you focus on customer growth versus retention versus just reengaging customers? And then on brand campaign, do the UK investments include brand campaign investments or are you planning on a brand campaign there? Thank you.
Katrina Lake: Sure. Thanks for the question. First, I think, in terms of what we've seen change on the customer, I mean, I would say that overall and what we really focus on is driving clients that have long term value and the potential to generate a lot of value over a long period of time. And certainly what's changed I think is our ability firstly to deliver that which I think you can see through the revenue per client number and the keep rate, the keep rate that we talked about last quarter. But it also – I think another element is targeting where we're able to now use data science to better targeting as we're prospecting for clients who is likely to be a great customer for us versus who may not be as good of a fit. And so all of that, I think, has translated to confidence for us on the marketing side and also opportunity for brand to really play a role here. The other, I think, interesting thing in why I think the brand campaign is a great time right now as we think about it not just new customers but also retention and reengagement is that we have these great businesses now, we have men and kids and women. All of which are different life cycles. And so we love that we've seen that TV advertising in the past has reignited clients who have previously gotten a fix before like set as possible in our large women’s business, but also this is a great introductory opportunity, I think, as we think about the new businesses that we have. Currently we don't have any plans to have the brand campaign extend into the UK. The $15 million to $20 million investment that we talked about in brand is really focused here in the U.S. And actually that we've already started spending, so you may have seen, as I mentioned, the Stitch Fix are in the Oscars a few weeks ago, a couple of weeks ago, and so that's kind of the beginning of that. But we – well, stay tuned. We'll see how the UK launch goes and we’re definitely optimistic about the contribution of brand to our marketing portfolio.
Operator: We’ll hear next from Ralph Schackart with William Blair.
Ralph Schackart: Good afternoon. You had a really strong revenue be in the quarter. Yeah the full year outlook was boosted well in excess of what you achieved in that quarter. I’m just curious what are the main drivers of that really strong revised outlook? I think during the call you talked about planning for second half higher demand expectations just any more color on what that would be. Thank you.
Paul Yee: Thanks, Ralph for your question this is Paul. You're correct we’re really pleased with the Q2 results and the upside versus our guidance is driven by the fact that we had higher revenue per client growth year-over-year up 6%. That was the third quarter in a row – it’s third quarter in a row of growth and an acceleration from the prior two quarters. So, we’re seeing that momentum continue in the second half and that's a testament to our ability to give our clients value given products they love and we see that across all of our businesses and that's really feeding into our full year increase in our revenue guidance. So, that's largely the key drivers and really pleased with the fact on top of that we're really setting ourselves up in the back half of the inventory and marketing investments to really drive our overall business.
Operator: Moving on to Edward Yruma with KeyBanc Capital Markets.
Edward Yruma: Hi, good afternoon and congrats on the nice quarter. As you think about some of the new initiatives that you've outlined via at kids, via at men's, via at plus, how have you been able to change maybe the maturation curve relative to what you saw within women? Are these ramping maybe a little bit faster than expected? And I guess on the inventory side, I appreciate your building inventory for the back half, do you think in the second quarter you were constrained by inventory and did that impact the top line? Thank you.
Katrina Lake: Sure. I can start out with some of the – with some color on the new initiatives. I think all of – as we look at men’s, plus, and women’s, they're all in kind of different phases in our maturation. And I think we shared in the past that the men's business was growing – grew faster in those first few years than our women’s had originally. And so that is I think a really nice reflection of the platform of Stitch Fix and the ability for us to leverage the learnings that we have from how do you apply data science to our women's business and apply that to other businesses. And so we continue to kind of see the benefit of that and really benefit from that, and we're very happy to see that. On the question around inventory constraint, in the short term, inventory is a constraint that we have. And so because we are in wholesale and because we are buying our inventory up front, within a quarter for example, we don't have a ton of flexibility. And so the way that you can see that come to life or the way that, that came to life in the second quarter was that we saw, as Paul alluded to, we had great demand from our existing customers and from our repeat customers. And so what that meant was that we had more inventory that was consumed by our existing customers, which meant that as we thought about when to deploy marketing dollars and particularly the marketing dollars that are more of a direct response format, so for example marketing online, it makes more sense for us to move some of those marketing dollars into later quarters rather than to drive clients into a potentially inventory-constrained experience. And so being able to have that flexibility around the marketing driver enables us to really use time also in our benefit as we try to do matching clients and inventory and making sure that everybody has a great experience. And so that's part of the reason that we decided to move some of those marketing dollars into the back half of the year and ultimately to kind of lead to a higher revenue number for the year than we anticipated.
Operator: And from Goldman Sachs, we’ll move to Heath Terry.
Heath Terry: Great. Thanks. I was wondering if you could give us a bit of an update on private label, just what you saw in terms of mixed trends within the quarter? And particularly, as you’ve seen this improvement and keep rate, if there's any particular contribution that you're seeing balance towards one side or another of the private label versus your bought inventory business?
Mike Smith: Yeah. Heath, this is Mike. I'll take a question. So we – just as a reminder for folks on the phone that might be newer to the story, we have market brands and we have exclusive brands which is our private label business. They differ by business line in terms of men’s, kids and women's. We have great product acceptance on our exclusive brands. And each year, we get better and better at sort of building exclusive brands that match our client needs. And we're pleased with what we've done in terms of private label. But no real news in terms of mixed trends in it. I mean, we’ll – we will do use exclusive brands as a way to fill in for market brands. And obviously, there is some initial markup benefit that we get as [indiscernible] that. But the most important thing for us is to build great product that's going to match the client preferences and deliver great satisfaction to the clients that are looking for great product and we continue to be able to do that.
Operator: We'll move next to Erinn Murphy with Piper Jaffray.
Erinn Murphy: Great. Thanks. Good afternoon. A couple of questions for me. I guess, first on the U.K. in this kind of window of time before you go live. I know you spend a lot of work in terms of hiring the team and kind of reaching out to some unique vendors but I’m curious if you can share Katrina a little bit about more some of the focus groups, the research you’ve done on that kind of ground here in the UK on kind of who that consumer is and kind of what expectation do you have in terms of maybe some of those differences versus kind of core American consumer that you’re focused on today?
Mike Smith: Yeah, it’s a great question Erinn, on the UK we informed our entry into the UK with a lot of market research and a lot of really understanding the market, so that we could enter with a true personalized offering. And I think what’s interesting there are even some differences for example between men’s and women. And I think what we found was that a lot of what we do at Stitch Fix is leverageable where I think people are really excited to have the idea of a personal stylist. People are very comfortable shopping online for apparel even more so actually than in the U.S. and that people there really aren't other offerings out there that offer the same level of personalization and really kind of this deep understanding. And I think that that is also a huge benefit that people would love out of our business and all of that translates from, from a sentiment perspective. From a merchandise perspective, and it is interesting because we are looking – we want to make sure that the offering actually reflects what UK clients want. And I think especially for the women's business that's going to look pretty different than the U.S. market. And so, to just name a couple of trends for example I think the UK market tends to be a little bit more formal, a little bit less leisure for example that we see in the U.S. and we'll expect to see less of that. The brands are obviously different and so there may be a handful of brand that we can use across both markets but for the most part we're really going in with a client right approach to brands. And so, we'll see lots and lots of different brands in the UK market than we do in the U.S. market. And I think the interpretation of trends is also going to be different in the UK than in the U.S. And so, from a merchandising perspective, I think the assortment will look quite different and that’s really informed by what we know about the client, what we've learned about the client. But I think overall, we think the opportunity is really great and we're really excited that I think this personalized approached to the market is one that we feel is a really good one to help maximize success for us.
Erinn Murphy: Got it. That's helpful. And then just my second question is I know your approach per customer is very tailored and it sounds like with this new inventory algo, you're varying that kind of delivery time based on, I guess, inventory availability and making sure that satisfaction is there. I'm curious though, bigger picture and longer term, is there a way that you guys are thinking about internally what that ideal average delivery time should be to the household where – relative to where it is today?
Katrina Lake: Yeah. First and foremost, Erinn, is making sure that we match great inventory to the client base that we have. And so when we think about the tailored approach and sort of the algo that we talked about on the call, it's important for us to understand all the dynamics of personalization of what that client’s going to work best with. And so we don't vary the delivery times today with the exception of you know depending on where we are on wait times. Someone might have a different sort of different time line from when they schedule fixed or when they get a fix, but that's how we think about it. But on -- sort of ideally, over time, we want to bring that down and some of the constraints that we talked about in our Q2 – in the prepared remarks were that if you have more sales from your existing client base, and obviously there's less inventory to serve even greater demand. And Paul talked about it, we're very well set up for the second half of the year to be able to have higher -- to chasing the higher demand and that’s why – we raised our inventory or raised our revenue target for the rest of the year. but ideally it’s always kind of faster within reason. A lot of people go really fast, it's high cost and we just want to make sure we're always balancing sort of growth and profitability and not too fast for fast say, too fast for client quite rating.
Operator: And from SunTrust we'll move to Youssef Squali.
Youssef Squali: Excellent. Thank you very much. I have a couple questions. First on the UK as you look at all the data science that you've been able to invest in and developed over the last few years in the U.S. how transferable do you think that – those learnings are as you go into the UK? And can that actually help inform your basically demand trajectory in the UK such that we can actually see faster adoption in the UK than we've seen in the U.S.? And then Paul can you help us just maybe quantify the marketing spend push that you've spoke about Q2 into the second half of the year? I think last quarter you talked about how we should anticipate marketing as percentage revenue to be down about maybe 300 basis points or so similar to what you did last year you ended up nicely outperforming that. Is the assumption there is that Delta is what got pushed out? Thank you.
Mike Smith: Youssef this is Mike, I'll take the first one like you said. The data science is very transferable in terms of it being a platform approach, being able to really learn quickly what are client attributes that are going to work with real – with what inventory we have. And so, with each of our new business launches with whether it's men's or kids or plus or now the UK we have high expectation that we can – faster adoption faster learning, faster to profitability with each one of these businesses because we can use a platform approach and we can learn really quickly as a result of having kind of data science is the core of what we do. So I’ll let Paul take the second question.
Paul Yee: Yes. This is Paul. In regards to your question on marketing spend, Katrina talked about the fact that we did have high demand from existing clients, so we did intentionally pull back versus our plans going into the quarter, our marketing spend. So I think we have approximately a good sort of estimate for the amount we shifted up from Q2 to Q3 to Q3 and Q4 in terms of how much marketing we're pushing in the second half will be deploying. I do report that the second half which sort of think about our spend in two ways, we have the brand marketing spend of $15 million to $20 million that's incremental to the new capability we're building. We think it’ll drive long term benefits and that's going to be in Q3. Separate from that we are investing in performance marketing as a percent of revenue. I would look at last year's sort of percent of revenue spend sort of as a gauge for you to model out sort of that baseline preference marketing investments in the back half. But altogether that's really leading to a sort of full year EBITDA guidance which is actually going up versus our last call and helping drive of course our higher revenue as well.
Operator: And we’ll go next to Ike Boruchow with Wells Fargo.
Ike Boruchow: Hey congrats, everyone. Just a couple of questions that we have left. I think you mentioned $12 million U.K. costs for this year. Paul any chance you could break that out between Q3 and Q4 and any color you can provide for how that wraps around to the first half of next year? That's the first question.
Katrina Lake: Sure. Hi, Mike. Hi Ike. Thanks for your question. So the $12 million I think roughly it's both Q3 and Q4 evenly split. It’s again the town that we've hired to be in-country to personalize the service and then we're now operating RDC where we're seeing our first goods this quarter in advance to our Q4 launch. So that’s some color around our UK spend and we’ll give more details in the coming quarters on our overall outlook for FY 2020. Obviously about revenues as well as costs in the UK, so we’ll give an update in future quarters on our launch.
Ike Boruchow: Got it. And then just a follow-up on the top line. So the rev for customer seems to be doing really well based on your outlook or being revised higher, it seems like you’re really confident there. Just curious, you’re taking together the brand marketing that sounds like you don't expect to provide a big lift in net adds immediately. Embedded in the top line, what kind of active member growth should we be assuming?
Paul Yee: Hey, this is Paul again. Yes. The first to emphasize brand marketing that integrated campaign we've just launched is very much a belief of a new capability we're building. We're excited in sort of seeing the results this quarter and certainly how it interacts with other channels we're investing in. But absolutely, we think of this as a long-term investment and we don't expect that to have a near term impact on our client count. In terms of the second half overall, in terms of our drivers of revenue and the upside we saw, we see both levers. Revenue per active client where we're seeing momentum continue in the second half. And also a healthy growth in client count. I talked about the performance marketing, message making the second half. And for both new and existing clients, we are positioned I think well in terms of inventory. So we're really excited about the second half. You're seeing that in the raised guidance for the full year are we're going to see the benefit of both product and marketing initiatives, playing on both client count and revenue per client.
Operator: And from Wolfe Research, we'll hear from Adrienne Yih.
Adrienne Yih: Yes. Katrina, first congratulations and welcome back. I was wondering if you can discuss the inventory optimization program and how does that impact the number of personal stylists that you need as well as the interaction with that stylist and touch pointswith the client. And then secondarily, if you can talk about the high-end luxury brand edition and then tapping into that higher-household-income customer. Thank you very much.
Paul Yee: Great. Thank you, Adrienne. In terms of inventory and kind of optimization, I think the easiest lever to talk about is inventory, of just saying inventory is a short-term constraint. And maybe just a step back, I think since we've gone public we have had this ambition of growing at 20% to 25% year-over-year. And that that’s a rate that we feel like is a very healthy growth rate especially in this retail environment but one that really helps us to capitalize on the huge market opportunity over the longer term. And as we plan for the year, there's a number of constraints and inventory can be one of them, stylist can certainly be one of them, our operations can be those and we're really – all of these parts of our business are kind of – are like walking in lockstep really to be able to deliver great client experiences. And so when – and Mike talked a little bit about wait times earlier but one of the levers that we have available to us is that we are able to see if we have great inventory for somebody, we can ship them a fix immediately. If we don't have as great inventory this week but we'll have great inventory for somebody next week, we can manage that through wait times, for example. And so what we do is we really – we put those constraints in place and really manage using time because we want to make sure that every client has the best possible experience. And so we want to make sure they have the right inventory experience. We want to make sure they have the right stylist experience. And so in times of high demand, we are not using stylist time as a lever. So stylists are not shortchanging clients by doing faster fixes or anything like that. We really manage to making sure that the shipments that we ship out are all going to be great fixes and can use kind of time, for example, to create a lever for that. In terms of the higher-end offering and we have customers like Tahari is brand that we’ve heard a little bit about work wear for example has been an area of strength in the business. And what we’re finding is by having these kind of brands like [indiscernible] and Tahari and these brands that more than love that we’re able to not only serve higher end client really well but also be able to serve the needs of a more high-low client. And so for example there may be clients who on at leisure or their weekend offerings but really want to have like a really nice thing for a work presentation or for an interview. And so being able to have those kinds of marquee higher end brand has really helped us I think both to serve our high-end customer well but also to her to serve our broader audience well and we’ve been really happy with the performance of those brands.
Adrienne Yih: Great thank you and Paul really quickly, how different is the private label to branded mix in the UK business? Thank you.
Mike Smith: Yeah. I’ll actually take that this is Mike. We're just getting started in terms of launching before the end of the fiscal year. So, I think it's too early to kind of tell. And one of the things we always tell our teams when they're launching new businesses is have this launch and learn approach. So, in future quarters we can talk more specifically about the performance of the UK and sort of how – what’s the breakdown not specifically about exclusive brands versus market brands but some color around that after we’ve been up and running in the country for a little bit.
Operator: And at this time, I'd like to turn things back to Katrina Lake for closing remarks.
Katrina Lake: Great. Thank you, all for joining the call today. We're looking forward to seeing you on the road and at conferences. Thank you.
Operator: And again, that will conclude today's conference. Thank you all for joining us.